Operator: Greetings and welcome to the Tiptree Financial Inc. Full Year 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Sandra Bell. Thank you. You may begin.
Sandra Bell: Good morning, everyone. Welcome to Tiptree Financial's 2015 earnings call. My name is Sandra Bell. I am the company's Chief Financial Officer, and I am joined today by our Executive Chairman, Michael Barnes; and Chief Executive Officer, Jonathan Ilany. Prior to this call, we posted the earnings release and presentation on our Web site at tiptreefinancial.com. The presentation provides supplemental information to our prepared remarks, which we will refer to by page during the call. Please turn to Page one of the presentation, where we list our required disclosures in detail. Our remarks on this call are qualified in their entirety by the disclaimers on this page. This presentation is being provided as a supplement to our SEC filings solely for information purposes. Throughout the presentation there are forward-looking statements which provide management's current expectations of what we believe could occur, including comments about our plans and objectives. Our businesses are subject to risks and uncertainties which are outlined in our SEC filings, and which could impact our expectations of future results. Except as required by the securities laws, we undertake no obligation to update any forward-looking statements. We have also included in this presentation information from publicly available sources, which we have not independently verified. Lastly, we use non-GAAP measures, including EBITDA and adjusted EBITDA throughout the presentation. We believe these non-GAAP measures provide supplemental information useful to investor. As these measures are not GAAP, they should not be used as a substitute for GAAP disclosures. The appendix, beginning on Page 17, provides a reconciliation of each of these non-GAAP measures to their GAAP equivalent. With that disclaimer, let me turn it over to Michael, who will begin his comments on Page three.
Michael Barnes: Thank you, Sandra. Good morning and thank you for joining our call. 2015 was a year of significant changes at Tiptree that will provide the foundation of our strategic direction and future growth going forward. On a consolidated basis, total revenues grew 5.5 times to 440 million, while contributing 58 million of adjusted EBITDA. Book value per Class A common share increased to $8.96 per share. Our growth this year was driven by Fortegra's first full year of operations under the company's ownership, which produced 41 million of adjusted EBITDA. Growing demand for non-bank consumer finance and auto warranty and insurance products contributed to these results. In the second quarter, we closed on our sale of Philadelphia Financial Group and received 142.8 million cash proceeds, plus future payments of 7.3 million. The sale resulted in an after-tax gain for 2015 of approximately 15.6 million. In July, we added to our mortgage origination business by acquiring Reliance First Capital, which primarily focuses on agency and government mortgage loans. Higher year-over-year results in our Specialty Finance segment were driven by improvements in the housing market and small business funding. Care Investment Trust continued its strategy of building out our senior care real estate portfolio by acquiring 85 million in new senior housing-related investments. Positive macroeconomic and demographic trends continue to support our expectations regarding the senior housing business. In 2016, we expect to see the benefit from the 2014 and 2015 property acquisition, as actions taken to improve rental income and adjusted EBITDA take hold. We initiated our strategy of investing in non-performing residential mortgage loans, ending the year with a portfolio investment of 39.7 million. Since year end, we have added 8 million for a total investment of 47.7 million. During the year, we made 70 million of additional equity investments in Telos 7 warehouse and leverage loan strategy. Market concern over weakened credit trends, primarily driven by the energy sector has lowered loan prices and widened spreads, slowing new CLO issuance. While we remain comfortable with the underlying credit performance of our loan assets, we expect the volatility to continue through at least the early part of 2016. Lastly, the company returned 7.3 million to shareholders for 2015 in the form of dividends and stock buybacks. Tiptree's businesses are leveraged to improvements in the U.S. economy and more specifically to the health of the U.S. consumer. On Page four, we note improvements in GDP, housing starts, and industrial production. With lower unemployment, a strong dollar, and lower oil prices, the U.S. consumer appears to be more optimistic about the future and is spending more. As you know, public markets have seen a challenging start to the year with investor concerns over energy prices, global wealth, and high-yield corporate credit. Despite market volatility, we expect to leverage the fundamental macroeconomic trend, and continue to grow Tiptree by investing in our existing businesses to achieve revenue, volume, and margin expansion, by looking for opportunistic acquisitions and investments in high [ph] returning cash flow businesses, and by redeploying capital from non-core capital intensive or underperforming asset. We believe that our approach to capital management will produce growth and long-term shareholder value. With that said, I will turn it back to Sandra who will discuss our 2015 financial results.
Sandra Bell: Thank you, Michael. Beginning on Page six, you can see our GAAP results along with adjusted EBITDA. For the year, we reported GAAP net income of 8.8 million for the operating company, and 5.8 million for Tiptree Financial. This includes income of 22.6 million from discontinued operations for the first half of 2015 related to PFG. Adjusted EBITDA of the operating company for the same period was 58.4 million. Results from continuing operations were primarily impacted by improved profitability from the addition of Fortegra, growth in specialty finance, volumes, and margins along with the acquisition of Reliance, increased rental revenue at Care from both the growth in our portfolio and improving results at our existing properties, and was primarily offset by realized and unrealized fair value losses on our CLO subordinated note, higher depreciation and amortization, and our real estate investments, higher corporate expenses to enhance our controls in infrastructure and separation payments to a former executive. On Pages seven and eight, we've laid out the components of our segment revenue and adjusted EBITDA. Our 2015 segment revenue grew from 80 million in 2014 to 440 million in 2015. To allow for easier year-over-year comparison, we have highlighted both PFG revenues included in discontinued operation, and income attributable to the consolidated CLOs, neither of which are reported in our revenue. Adjusted EBITDA from continuing operations was up 7.5% year-over-year. With that, we will now transition to our segment results and outlook. Page 10 includes the unaudited pro forma revenues and net revenues on the Insurance segment to allow for comparison of Fortegra's year-over-year performance. The pro forma's are presented without the purchase price adjustments reflected in our consolidated financial statement. Net revenue, a non-GAAP financial measure is reconciled to GAAP in the appendix. Insurance revenues were down slightly year-over-year. Growth in credit protection product and improvement in both specialty and warranty product reflects the growing consumer confidence, Michael mentioned earlier. Those improvements were more than offset by the cell phone warranty products which continue to experience competitive pressure. Adjusted EBITDA was up 5.6% over the prior year, primarily driven by an aggressive program to cut cost, which resulted in margin expansion of 2.2%. Going forward, revenue growth is expected to be supported by additional expansion in credit protection and our specialty insurance product and a disciplined expense management in 2016. We are pleased with the positive trends in specialty finance segment this year. On page 11, adjusted EBITDA was 5.9 million, a 7.4 million improvement over 2014. This was driven by improved mortgage volumes of 131% as well as increases in our middle market lending platform with Siena which benefited from a 91% increase in average earning asset. With the addition of Reliance and its higher mix of FHA/VA and agency volume, net revenue margins increased by 144 basis points year-over-year. Home affordability continues to be attractive as near term mortgage rates are expected to remain low by historic standards. Home affordability combined with improving job prospects and home price appreciations are expected to drive positive growth in the mortgage purchase market. The GSEs and FHA have added products and improved pricing to encourage first time home buyers, which seems to be having a desired effect. Lower priced home sales have picked up in the first two months in 2016 according to the National Association of Realtors. Turning to page 12, the combination of an aging U.S. population and stable economy continues to support positive dynamics for our senior housing segment. Fifty three percent of Care's portfolio was acquired at the end of 2014 through 2015. The acquisitions were primarily managed properties partnering with existing operators and focused on facilities that are undergoing comprehensive capital expenditure enhancements to allow us to operate more efficiently. As the facilities ramp up and stabilize, we expect our results to reflect improvement. While we incur operating expenses on these managed properties, the potential for revenue and NOI growth provides greater upside as occupancy, rental revenues, and cost efficiencies are realized. The increase in the number of properties combined with improving occupancy at existing properties generated higher rental and other income in 2015 compared with 2014. However, the company also incurred additional depreciation, amortization, and interest expense as a consequence of the growth in the portfolio. Excluding the onetime gain of 7.9 million at Care in 2014, we saw year-over-year growth of 115% in revenues and 106% in adjusted EBITDA. Subsequent to the fourth quarter, Care has acquired two new managed properties for approximately $55 million. We report our CLO businesses in two segments: asset management and corporate and other. In the asset management segment, we report management fees earned on both our consolidated and deconsolidated CLOs. In the principal investment portion of corporate and other segment, we report our distribution and realized and unrealized fair value adjustments on our retained interest. On Page 13, our asset management fees were down year-over-year from 12 million in 2014 to 10.5 million in 2015. The principal reason for the decline was a combination of amortizing assets under management and our older CLOs and lower fees on more recent CLOs. Page 14 highlights the key drivers impacting our corporate and other segment. Adjusted EBITDA losses were 33 million which was primarily impacted by our CLO equity performance. We generated 25 million of cash from a combination of management fees which are recorded in our assessment management segment and distributions on our investments. This was offset by 25.9 million of realized and unrealized losses on our subordinated notes. We estimate the fair value of our subordinated notes by applying a discounted cash flow, and using a number of assumptions to estimate future distribution on those instruments, including default rates, expected losses given default, reinvestment rates, and discount factors. As a result, as distributions are paid, the value would naturally decline. Thus, and in the case in all periods, a portion of the 17.9 million of unrealized losses, in 2015, was actually attributable to earn distributions. New work strategy is to invest in middle market works which are less widely syndicated so benefit from tighter covenant structures. Our loans are less liquid than others, and that's more sensitive to fair market value accounting volatility. We believe that our ongoing distribution and fees benefit from the tighter covenants, providing us with great ability to mitigate defaults from credit deteriorates, and more stable cash earnings. In the fourth quarter, Tiptree purchased 1.4 million common shares of RAIT Financial Trust, a publically traded commercial real estate trust, and an additional 5.2 million shares in the first quarter of 2016, for a total cost of $16.1 million. We also expect our NPL investments will begin to result in realizations on sales of mortgage loans, and or single family homes in the second half of 2016. Lastly, our efforts to improve the controls in reporting infrastructure are reflected in increased payroll, and external costs of $2.5 million, and $7.6 million, respectively, which primarily consists of additional headcount, consultant, and audit fees. Also impacting our corporate expenses was $6.5 million of separation payments related to a former executive. With that, I will now pass it on to Michael for a wrap-up, on Page 15.
Michael Barnes: Thank you, Sandra. Looking forward, we believe Tiptree is well-positioned as a result of the changes we implemented in 2015. Adjusted EBITDA is expected to benefit from continued revenue growth, and disciplined expense management of Fortegra. We expect specialty finance volumes to be supported by positive trends in the housing market, and improving product mix. Growing rental income from our current senior care real estate portfolio, combined with incremental capital expenditures, should drive operating improvements in that segment. In our credit businesses, we expect continued volatility from unrealized gains and losses. But believe that the defaults in our portfolios will remain low for 2016, and the business will continue to provide stable asset management fees and distributions on our principal investments. Lastly, we plan to redeploy capital from underperforming businesses to support growth in our core segments, and expect that investments in our people and infrastructure will deliver improvements in controls and financial reporting. We believe our efforts to increase transparency in our financial reporting should allow investors to better understand the value of Tiptree. Thank you. And we will now open up the call for Q&A.
Operator: Thank you, ladies and gentlemen. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Andrew Cowen from Badge. Please go ahead.
Andrew Cowen: Good morning everyone.
Sandra Bell: Good morning.
Andrew Cowen: A couple of questions, on the Telos side, as more of the more recent vintage Telos deals season, does that -- do those fees start growing over the next couple of years, or you do get into the higher incentive fee rates?
Sandra Bell: Once the reinvestment period is over…
Andrew Cowen: Yes.
Sandra Bell: In the financial statements we do articulate in the footnote on the CLOs the timing of the end of the reinvestment period, and it's at that point that the incentive fees would kick in.
Andrew Cowen: Do we have any of those this year?
Sandra Bell: We do not.
Andrew Cowen: Okay. And just going through all the numbers, it looks like nice growth, basically in margins and revenue, almost across the board. Is there any way you can give any kind of guidance for, like a range of guidance, for the year in either segments or as a whole?
Sandra Bell: No, we're not giving guidance this year at this point.
Andrew Cowen: Okay. I guess that's it from me for now. Thanks.
Sandra Bell: No problem. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of John Sites from Wexford Capital. Please go ahead.
John Sites: Ladies and gentlemen, it looks like a great year in 2015. So my question is how do you unlock the value in your equity going forward?
Jonathan Ilany: Good morning, John. As Michael mentioned in our prepared remarks, if you look on page four, we're saying that 2015 was the year in which we repositioned the company for long-term growth. Today, we continue to invest in our existing businesses, and we look to add to our portfolio to acquire, and to invest in businesses, which contain what we are looking to do; high cash flow and focusing on high return, and lastly, to redeploy capital from [technical difficulty].
Sandra Bell: Jonathan, I'd add one other point to support your answer, and to answer John's question. We also believe, John, that by improving our transparency and our communication with investors, it will help us be able to deliver the message of our strategy in a way that will allow them to take those results, and translate into our forward momentum.
John Sites: Okay, thank you.
Operator: Thank you. [Operator Instructions] Ladies and gentlemen we have no further questions in queue at this time. I would like to turn the floor back over to management for closing comments.
Sandra Bell: Thank you to everyone for dialing in today. We look forward to seeing you during the course of the year. If you have any questions, please feel free to reach out to me or the rest of the team. This concludes our conference call. Thank you.
Operator: Thank you ladies and gentlemen. This does conclude our teleconference for today. You may now disconnect your lines at this time. Thank you for your participation, and have a wonderful day.